Operator: Good day, everyone, and welcome to the NextEra Energy 2011 Fourth Quarter and Full-Year Earnings Release Conference Call. Today's conference is being recorded. At this time, for opening remarks, I would like to turn the call over to Ms. Rebecca Kujawa, Director of Investor Relations for NextEra Energy Inc. Please go ahead, ma'am.
Rebecca Kujawa: Thank you, Alicia. Good morning, everyone, and welcome to our fourth quarter and full-year 2011 earnings conference call. Joining us this morning are Lew Hay, NextEra Energy's Chairman and Chief Executive Officer; Jim Robo, President, Chief Operating Officer of NextEra Energy; Moray Dewhurst, Vice Chairman and Chief Financial Officer of NextEra Energy; Armando Olivera, Chief Executive Officer of Florida Power & Light Company; and Armando Pimentel, President and Chief Executive Officer of NextEra Energy Resources. Moray will be providing an overview of our results, following which, our senior management team will be available to take your questions. We will be making statements during this call that are forward-looking. These statements are based on our current expectations and assumptions that are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements. If any of our key assumptions are incorrect or because of other factors discussed in today's earnings news release and the comments made during this conference call in the Risk Factors section of the accompanying presentation or in the latest reports and filings with the Securities and Exchange Commission, each of which can be found at the Investor Relations section of our website at www.nexteraenergy.com. We do not undertake any duty to update any forward-looking statements. Please also note that today's presentation includes references to adjusted earnings, which is a non-GAAP financial measure. You should refer to the information contained in the slides accompanying this presentation for definitional information and reconciliations of the non-GAAP measure to the closest GAAP financial measure. NextEra Energy's management uses adjusted earnings internally for financial planning, for analysis of the performance, for reporting of results to the Board of Directors and its input in determining whether certain performance targets are met for performance-based compensation under the company's employee incentive compensation plan. NextEra Energy also uses earnings expressed in this fashion by communicating its earnings outlook to investors and analysts. NextEra Energy management believes that adjusted earnings provide a more meaningful representation of NextEra Energy's fundamental earnings power. With that, I will turn the call over to Moray Dewhurst. Moray?
Moray P. Dewhurst: Thank you, Rebecca, and good morning, everyone. 2011 was a mixed year for NextEra Energy. We had a number of disappointments, but we also had at least an equal number of successes. On balance we must consider it a good year, as our successes position us well to deliver on our longer-term value proposition in spite of a very challenging environment for Energy Resources. We have the building blocks of our growth plan in place. Our focus now is on execution. Let me first say a few words about the disappointments. Although our final adjusted results were well within the range of expectations we originally set out for you in October 2010, they were not what we had hoped for, yet a couple of caveats are in order. Despite the challenging environment for Energy Resources, we set another all-time high for adjusted earnings per share, and the growth in adjusted earnings per share of 2.1% was roughly in line with the median 10-year earnings per share growth rate for our industry, while our profitability is reflected in adjusted ROE, continues to be better than the long-term industry median. But industry average performance is not what we expect of ourselves, and we know you do not expect it of us either. There were 4 principle reasons why we fell short of our expectations in 2011, all associated with Energy Resources. First, our proprietary trading activities fell well short of our hopes. In retrospect, we were overly optimistic about the market environment for these activities and hence, about the results they could achieve. We chose not to increase our risk profile in these areas, but instead, to accept what the market was giving us. Looking forward, we have adjusted our expectations downward for these parts of the business, reflecting our expectation that market conditions will continue to be soft for some time. Second, we encountered some challenging issues at our Seabrook nuclear facility, which led to unplanned and extended outages and less availability than we had anticipated. Historically, our Energy Resources nuclear assets have run very well, and we expect to revert historical performance over time. Although we had challenges within the nuclear fleet in 2011, our nonnuclear-generating facilities performed exceptionally well with one of the lowest forced outage rates on record. Third, we had hoped to get a few more megawatts of new renewable projects in the ground by the end of 2011. 2 projects will push into the first quarter of this year. This has relatively minor financial impact on the projects' overall economics as the projects are still expected to qualify for the relevant tax incentives. Fourth, as we discussed extensively in the third quarter call, we were negatively impacted by the extreme heat in Texas in August. We were likely to see a negative impact on our retail customer supply business under such extreme adverse conditions even with the best execution. Nevertheless, we made a number of operational changes to improve our responsiveness and resilience should such extreme conditions occur again. Although we were able partially to offset these 4 challenges in various ways, the net impact was that overall at the enterprise level, we were $0.10 or so short of where we expected to be. 2 external factors must also count as disappointments. As you all know, the forward curve for natural gas came down significantly. While the effects of those on our results are muted for the next several years by the heavily-hedged position at Energy Resources, over the long haul, lower natural gas prices mean lower power prices for our key merchant assets. And finally, and quite separately, we were disappointed that the historically bipartisan issue of Federal support for renewables has, for the moment at least, apparently become one of the casualties of political conflict in Washington prior to a presidential election year. However, this issue is far from closed, and we remain optimistic that we will continue to see Federal support for renewables generally and wind specifically beyond 2012. But while these developments were disappointing, we also had many successes in 2011. Chief among these was outstanding progress in the development of Energy Resources' renewable backlog. We continue to build our backlog of contracted renewable assets by entering into contracts for nearly 2,200 megawatts of wind and solar energy already placed in service in 2011 or expected to be placed in service by the end of 2016. Project development, of course, is more than just executing contracts. Permitting and other approvals, construction execution and other challenges continue to be present on many projects even after a power purchase agreement is in place. But as a result of the excellent progress we have made in moving our development projects forward in 2011, we now have very high visibility into the evolution of our renewable portfolio for 2012 and beyond, and we know where we are likely to be by the end of 2012. We expect that by the end of this year, we will have nearly 10,000 megawatts of wind capacity in our fleet. With the development success we've had this year, we believe that we're also very well-positioned to achieve our longer-term growth goals. Let me emphasize that while we are optimistic that Federal support for renewables will not be eliminated, as I mentioned earlier, the financial expectations that we have previously shared with you and that we are reaffirming today are based solely on projects in our backlog and do not depend upon an extension of the PTC program. Turning now to Florida. FPL had a very strong year. Unit 3 at our West County Energy Center came into service on time and under budget, and as a result, our fossil system efficiency reached a new record. Construction on the Cape Canaveral modernization made excellent progress, and that project is on schedule and on budget. Local officials and residents from Riviera Beach enjoyed witnessing firsthand the demolition of the old plant there, paving the way for another modernization. And we began to pursue a third modernization project, the Port Everglades, that is expected to save customers hundreds of millions of dollars over and above the cost of the plant. We expect a decision from the PSC regarding Port Everglades by the end of the second quarter. We believe that all these projects have significant direct benefits for our customers in the form of fuel savings, broader benefits for Floridians in form of job creation and lower emissions and long-term benefits in the form of lower electric bills. Most important, at FPL, we continue to deliver what we firmly believe is the best customer value proposition in the state and one of the best anywhere in the country. Our customers enjoy our lowest bills in the state, bills that are 25% lower than the national average, top quartile reliability and award-winning customer service. For the eighth in a row, FPL received the prestigious ServiceOne award. This award is given to companies that exhibit exceptional customer service, and FPL is the only utility to have won at 8 consecutive times. Our emissions profile is among the best in the industry, and customers should see little impact from the recently-finalized EPA rules covering mercury, now known as the MACT rules. Our strategy at FPL is straightforward. It is to see -- continuing to find ways in which we can economically improve our customer value proposition. In recent years, that is translated in large measure into deploying capital to substitute more efficiently for other parts of our cost structure. In particular, we have been spending heavily to make our generation fleet more efficient, which translates directly into fuel savings for our customers. Since 2001, FPL system heat rate has improved by 19%, resulting in more than $5.5 billion in savings for customers, including more than $650 million in 2011 as a result of increased fuel efficiency. However, while the fuel decreases flow through regularly to our customers by the annual fuel clause proceedings, we must periodically seek recovery for the costs associated with the investments that create the efficiencies our customers enjoy. For the years 2011 through 2013, we will invest an average of about $3 billion per year in generation and infrastructure projects that benefit our customers, including new clean, efficient power generation. And so in 2012, we will be filing a general base rate case, seeking new base rates to go into effect in 2013 after the conclusion of our current rate settlement agreement. We filed a test year letter with the PSC on January 17, indicating our intent to seek rate release starting in 2013. While the details of the numbers may change somewhat as we prepare the required formal filing schedules, we anticipate that the total rate relief requested starting January 1, 2013 will be $525 million, with an additional $170 million at the time the Cape Canaveral modernization comes into service, reflecting the revenue requirements associated with that facility. The key drivers of our request are simple. First, we need to address the impact of the accelerated amortization of so-called surplus depreciation ordered by the prior commission and implemented under the rate agreement. As we pointed out at the time, the accelerated amortization provided a short-term means of masking the need for rate relief at the expense of creating a larger incremental need in the future. Roughly half of our rate request is a direct reflection of the need to address the disappearance of surplus depreciation. Second, we will seek rate recovery for Cape Canaveral. This modernization will improve system efficiency and reduce our overall fuel consumption, translating into benefits that our customers will see through fuel clause. We estimate that over the 30-year operational life of this plant, Cape Canaveral will produce net savings of approximately $600 million in fuel charges, over and above the $1 billion cost of building the plant. Third, we expect to request that FPL's allowed retail regulatory ROE be reset to 11.25%, which is roughly the average of the allowed ROEs granted to the other Florida IOUs. We believe it is poor policy for the utility with the best customer value proposition in the state to have the lowest allowed ROE in the state and to rank in the bottom quartile of allowed ROEs in the nation, which is the current situation. We believe both common sense and sound policy suggest that providing the prospect of higher profitability to customers -- to companies that deliver higher value for their customers offers a strong incentive to improve performance. Accordingly, included in our rate request is a 25-basis-point ROE add-on [ph], which we believe reflects FPL's current superior value proposition, but to be applied only if FPL maintains the lowest customer bill in the state. In seeking rate release, we are mindful of the fact that there is never a good time for a rate increase, and our state and our customers are still doing with considerable economic uncertainty. Still, even with our requested base rate increase, which amounts to about $0.23 per day on the typical residential bill, we expect that our bills will remain the lowest in the state and about 10% lower than they were in 2006. So we will continue to offer a service that is extremely affordable and exceptionally valuable. Because of the improved efficiency of our system, as well as because of unrelated changes in other factors, including lower natural gas prices, we currently expect the total bill impact to be no more than $0.10 per day on the typical bill and potentially even less. I should also note that the typical 1,000 kilowatt-hour bill, which is commonly used as a pricing reference point across the industry, is higher than our typical customer pays. Approximately 53% of our residential customers use less than 1,000 kilowatt hours a month on average. The January 17 filing of the test year letter initiates a process that will likely occupy much of this year. We expect to make our formal filing with testimony and required detailed data late in the first quarter and expect that we will have hearings in the third quarter, with a final commission decision in the fourth quarter in time for new rates to go into effect January 1, 2013. As always, we are open to the possibility of resolving our rate request through a fair settlement agreement. However, we look forward to laying out our case and demonstrating how our proposed rates will help us continue to deliver strong reliability and lower bills for our customers. We are confident that a fair and objective review of our case will lead to a satisfactory outcome for customers and for shareholders. Before turning to the details of our results, I would be remiss if I did not say a word or 2 about Armando Olivera, who will be retiring in May after 40 years of dedicated and successful service to our company. Armando has led FPL with extraordinary success since June 2003 and leaves the business one of the strongest and best-performing utilities anywhere in the nation. In addition to managing business, however, Armando has always been concerned with developing the next generation of leaders, and we are confident that Eric Silagy, who is named President of FPL in December and who has worked closely with Armando for the last 4 years, will be ready for a seamless transition. We thank Armando for his service, we congratulate him on his great track record and we wish him well in the next phase of his life. Let's now look at our results for the fourth quarter and full-year 2011. I'll start with the results at FPL before moving on to Energy Resources and then the consolidated numbers. For the full-year 2011, FPL reported net income of $1.1 billion or $2.55 per share, up $0.26 per share year-over-year. Under the terms of the settlement agreement, FPL's earnings are largely a function of capital employed, equity ratio and allowed ROE. FPL's retail regulatory return on equity was largely unchanged in 2011 relative to 2010, and we increased our equity commitment to the business in line with the growth in capital employed. As a result, the primary driver of earnings growth is the 11.8% increase in average capital employed for the year, a consequence of our having invested over $3 billion to maintain and improve our electric system's reliability and efficiency. These investments collectively produce significant customer benefits in the form of lower fuel costs, better reliability and clean air. And they are key to our ability to keep our customers' electric bills the lowest in the state over the long haul. For the full year, we recognized $187 million of surplus depreciation and amortization. For 2012, assuming normal weather and operating conditions, we expect to amortize between $510 million and $530 million of surplus depreciation. During the fourth quarter, we had approximately 25,000 more customers than in the comparable period of 2010, representing an increase of 0.5%. This growth rate has been fairly consistent now for the last 6 quarters. Total retail sales declined 2.7%, driven primarily by relatively less favorable weather, which was partially offset by an increase in underlying usage and other. As we've indicated before, underlying customer usage can be somewhat volatile on a quarterly basis, and we do not attach particular significance to this quarter's increase. For the full year, weather normalized sales were slightly positive, and underlying usage was roughly flat compared to 2010. The economy in Florida continues to improve, though it remains weaker than we would all desire. In December, the unemployment rate in Florida dropped below 10% for the first time since April 2009. Perhaps more important, an annual increase of 113,000 jobs was reported for December. The first-time annual job growth has exceeded 100,000 jobs since early 2007. As part of our commitment to job growth in the state and with the support of the PSC, FPL began offering in 2011 a new economic development rate to help attract more job creators to our state. This new rate provides eligible commercial and industrial businesses, with significant savings above and beyond an electric bill that is already the lowest in the state. Let me now turn to Energy Resources, which reported fourth quarter 2011 GAAP earnings of $402 million or $0.96 per share. Adjusted earnings for the fourth quarter were $128 million or $0.30 per share. Adjusted earnings exclude the effect of the mark on non-qualifying hedges and net other than temporary impairments on certain investments or OTTI. The large difference between GAAP and adjusted results reflects the magnitude of the reduction in forward gas and power prices during the quarter. For the full-year 2011, Energy Resources reported GAAP earnings of $774 million or $1.85 per share. Adjusted earnings were $679 million or $1.62 per share. In addition to non-qualifying hedges and OTTI, for the full year, adjusted earnings exclude the net charges related to the sale of the 5 natural gas-fired generation assets. Energy Resources' fourth quarter adjusted EPS decreased $0.04 from last year's comparable quarter. The only noteworthy negative driver was $0.05 related to Seabrook's unplanned outage. Please see the table in the appendix for additional details on the fourth quarter results. For the full-year 2011, the $0.31 decline in adjusted EPS was driven by several factors. Contributions from our new investments declined $0.06, primarily due to the lower CITC elections in 2011 relative to 2010. We elected CITCs for roughly 275 megawatts of wind projects in 2011 compared to approximately 600 megawatts in 2010. In our existing assets, our wind fleet contributed $0.23, primarily as a result of the greater wind resource. Seabrook's contribution declined by $0.12 as a result of lower hedge prices and an additional $0.11 due to extended and unplanned outages. Our gas infrastructure business contributed $0.06 more than the prior year. Our customer supply and proprietary trading businesses were down $0.22 year-over-year. And lastly, the other category declined $0.15 relative to 2010. This decline was largely the result of the asset impairment charges recognized in the second quarter of 2011, as well as higher interest expense due to growth in the business. While we typically review our earnings drivers relative to the prior year, as I have just done, we thought it might be helpful also to give you a quick overview of what drove the difference between the expectations we shared with you prior to the beginning of the year and the results the businesses actually generated. We have included a summary in the appendix to this presentation that compares our realized equivalent EBITDA to the initial 2011 EBITDA ranges we provided in our third quarter 2010 earnings materials for the various components of Energy Resources business. You will see that with few exceptions our expectations were fairly close. We have also included our updated hedging disclosures for 2012 and 2013 in the appendix. There were no significant changes for the last quarter. We remain highly hedged in both years. Looking at the company on a consolidated basis, for the fourth quarter of 2011, NextEra Energy's GAAP net income was $667 million or $1.59 per share. NextEra Energy's 2011 fourth quarter adjusted earnings and adjusted EPS were $395 million and $0.93, respectively. For the full-year 2011, NextEra Energy's GAAP net income was $1.9 billion or $4.59 per share. NextEra Energy's adjusted 2011 earnings and EPS were $1.8 billion and $4.39, respectively. Corporate and other's adjusted earnings increased primarily due to consolidated income tax adjustments related to state tax law changes and Federal tax benefits. In 2011, the wind portfolio accounted for very roughly 40% of Energy Resources' adjusted earnings. Because of its importance, we recognized that many of you are interested in additional detail around this business. It was an excellent year for the wind business overall. Every year for the last decade or more, we have set new records for total production as the fleet has grown, and 2011 was no exception. In total, our wind business in 2011 generated nearly 25 million megawatt hours. To put this in perspective, this production is comparable to the retail load of a typical good-sized utility, such as OGE Energy, Alliant Energy or Great Plains Energy. In addition, the fleet set a new record for capacity factor, as the wind resource recovered from well below average levels in 2009 and 2010. Looking forward and assuming normal wind resource, we expect the average capacity factor to continue to increase slowly as mix continues to shift towards more modern, higher efficiency turbines. It may also be of interest to note that 2011's capacity factor was significantly higher than the average capacity factor for the nation's natural gas-fired capacity taken as a whole. Of the roughly 25 million megawatt hours of production, approximately 70% was eligible for PTCs, the remainder representing output primarily from projects on which we elected to take the CITC or from projects that have passed their 10-year window of eligibility for PTCs. Of the PTCs generated, approximately 29% were allocated to investors under the various differential membership structures we have entered into. Looking forward, we expect this fraction to increase as we completed transactions of this type on 483 megawatts of capacity in 2011. We will continue to look for additional economically attractive opportunities to enter into these kinds of structures, commonly known as tax equity. 2011 was also a successful year for the execution of our financing strategy. Overall, we invested roughly $6.5 billion of capital into our businesses, net of amounts received under the American Recovery and Reinvestment Act. Our cash flow from operations was approximately $4 billion. At FPL, we maintained a consistent capital structure and issued $850 million of long-term debt, while committing approximately $1 billion of new equity to the business. Through Capital Holdings and its subsidiaries, including Energy Resources, we issued more than $700 million of project or limited recourse debt, net of retirements and amortization and a net of $260 million of corporate debt. We also received a little over $350 million from the sale of differential membership interest in certain wind projects. As you know, in 2011, we also sold 5 natural gas-fired assets. The impact of these transactions on our GAAP cash flow statement adds a little complexity, so a few words about the impact on our financing activities is warranted. In total, we sold the 5 assets for a gross value of $1.36 billion, leaving us with proceeds of $840 million after the elimination of the associated project debt obligations, a portion of which was assumed by the purchaser and a portion of which was retired. Of this $840 million, conceptually, $465 million was used to retire debt, although this is not evident in the cash flow statements as we simply integrated this effect into our existing financing plans. The remaining $375 million was used to repurchase equity. The net effect of the gas asset sales on our overall capital structure and credit position was essentially neutral. Looking forward, we expect to continue to employ a balanced financing plan to support our growth, while maintaining our balance sheet and credit strength. Because we are continuing to invest at a rate in excess of ongoing operating cash flows, we will continue to need to access the capital markets periodically. We expect to use the same broad mix of products, including additional limited recourse project debt and the sale of differential membership interests that we have used in the past. We also need to maintain a balance between incremental debt and equity and expect there will be a need to issue a modest amount of equity in order to support our growth plans for 2012 through 2014. Our strong balance sheet and credit position are important to our strategy, and we expect to maintain them. As we decide upon specific transactions, however, we will do so with an eye on where we expect to be in 2014. As we have previously stated, if we were simply to complete the projects that we currently have in backlog and add nothing new, we would expect to flip to become free cash flow positive after dividends in 2014. On the other hand, if we are successful in identifying additional new attractive growth opportunities in the interim, we will want to have the balance sheet strength to support them. Consequently, we currently expect that the bulk of incremental equity support will be in the form of equity units, a type of instrument that we have employed in the past which aligns well with the earnings profile of the projects it supports. If we do not add to the current backlog of projects, we expect that the 2014 share count will be slightly lower than it was in 2011. Turning now to expectations for 2012 and beyond. In 2012, we continue to expect adjusted earnings per share will be in the range of $4.35 to $4.65. There have been no significant changes to the supporting logic we discussed with you on the third quarter call. Looking beyond 2012, we continue to believe that our adjusted EPS will grow at an average rate of 5% to 7% per year through 2014, which translates to a range of $5.05 to $5.65 in adjusted earnings per share in 2014, subject to all the usual caveats we provide, including normal weather and operating conditions. Again, the logic has not changed since our third quarter call, although the excellent progress we have made in the development of Energy Resources' backlog of renewal projects is encouraging. In thinking about the growth of NextEra Energy, it is important to recognize the changing nature of our portfolio. The implementation of our strategies for both FPL and Energy Resources, coupled with the changing nature of the external environment, are leading us to a mix that is more heavily oriented towards regulated and long-term contracted assets than in the past. We're in the midst of the largest capital investment program in our history at FPL, which is causing this business to become a larger portion of our portfolio than it has in the recent past. At the same time, the externally-driven reduction in the opportunities available for the merchant elements of Energy Resources portfolio, coupled with our strategy of adding to the portfolio through long-term contracted assets, means that the proportion of Energy Resources portfolio exposed to commodity market volatility is decreasing. The net result is that with our present plans, we expect the proportion of our adjusted earnings coming from rate-regulated businesses, that is Florida Power & Light and Lone Star Transmission, to increase from 58% in 2011 to about 65% in 2014. Similarly, we expect the proportion of our adjusted EBITDA coming from regulated businesses and long-term contracted assets to increase from 78% in 2011 to about 84% in 2014. In both cases, this would result in an overall mix comparable to the mix we had back in 2006 when Energy Resources was simply a much smaller business. Before opening the phones to your questions, let me simply summarize what all these means for our 2012 priorities. Our focus is on execution across all our businesses. At Florida Power & Light, we must continue to deliver the best value proposition in the state, we must manage the execution of all our major capital projects successfully and we must achieve a satisfactory outcome to the base rate case. At Energy Resources, we must have outstanding day-to-day execution across all elements of our broad and diverse portfolio of activities, and we must remain on track for the development of our record renewables backlog, including reaching commercial operations on roughly 1,150 to 1,500 megawatts of U.S. wind projects before the end of the year. And at Lone Star transmission, we must continue our construction program to achieve commercial operations by the end of the first quarter in 2013, and we must achieve a satisfactory outcome of the general rate case. Of course, these are not our only objectives, but they are the most important immediate ones. If we execute successfully, we will be well-positioned to deliver on our 2014 expectations. And with that, I will turn the call over to the conference moderator for questions.
Operator: [Operator Instructions] And we'll go first to Daniel Eggers from Crédit Suisse.
Dan Eggers - Crédit Suisse AG, Research Division: I guess first question, with Progress getting the settlement so early in their process, do you guys see an opportunity this time to settle? And maybe share your thoughts on any mechanisms you'd like to get back in place like the GBRA as you file a rate case or put it formal.
Moray P. Dewhurst: Progress' situation is obviously different from our -- I just don't think we're in a position to comment or speculate.
Dan Eggers - Crédit Suisse AG, Research Division: Okay. And then I guess just on the renewable backlog. You guys in the past periods have given kind of a numerical amount of the projects you have in backlog that wasn't in the slides today. Has that changed or is there an update that you could share on that front?
Moray P. Dewhurst: Well, we're still within -- if you're referring to how it maps to the 1,400 to 2,000 over the 2-year period, we're still well within that range for the wind side. I think the pieces are here. If we haven't made them clear, I'll be happy to follow-up and make sure they are clear. On the last slide, I think it's pretty clear what we're working on right now.
Operator: We'll go next to Steve Fleishman from Bank of America.
Steven I. Fleishman - BofA Merrill Lynch, Research Division: Could you maybe go through some of the key growth projects and just development milestone updates and just what you'll be watching in terms of any issues there, maybe Spain, Genesis, the big ones?
Moray P. Dewhurst: Yes, let me ask Armando. I should specify Armando Pimentel since we are a company with 2 Armandos, managing its principal businesses. Armando Pimentel, would you like to comment?
Armando Pimentel: Steve, brief update. Spain project is going well. We are on track to bring those units, 2 different units, 2 50-megawatt units on track to bring 1 unit in -- earlier in 2013, the second one later in 2013. I'm very happy with the progress that's being made there. The Genesis project, our 250-megawatt project out in California, we're in the midst of construction. We are on schedule to bring unit 1 in, in the latter half of 2013. And the second unit, unit 2, each 125 megawatts, in 2014. Desert Sunlight, which, as you know, is being constructed by First Solar. It's a project that we bought 50% of, and GE Capital bought the other 50%. That's also on schedule, that has not changed. Some of that project will start hitting earnings, regular earnings and convertible investment tax credit earnings in '13. The bulk of that will be in '14, I believe, and then you have some in '15. And on the wind projects, we've got quite a bit that we want to get done this year. And I feel pretty comfortable at this point that virtually all of them are on schedule to get done because we've got potentially a real cliff, a PTC cliff at the end of the year. So obviously, we're very focused on that.
Steven I. Fleishman - BofA Merrill Lynch, Research Division: Okay. Just one other question. Moray, your comments on -- thoughts on potentially some equity funding. Could you just kind of maybe better clarify what you're trying to say? Are you trying to say that it's only needed to the degree that there's more projects added to the portfolio beyond what's in the plan or you still need to do a little bit based on the current portfolio?
Moray P. Dewhurst: The latter is the case. I mean, if you sort of ask what it's going to be and when it's going to be, the answer is, it depends. And let me try to explain why. In the prepared remarks, I tried to say that we have to focus a little bit on where we're going to be in 2014. So if we project out to 2014 and assume for the moment that we only execute the projects that are in backlog, then we would find ourselves in a situation where, effectively, the level of equity that we have in the business today would be adequate. But there is an interim period to be got through. And so for that interim period, we will most likely need some modest level of incremental support. And hence, that's why we're thinking of doing it primarily in the form of equity units, which obviously I don't have a dilutive impact in the interim. And then depending upon where we are in 2014, we'll be able to decide how to adjust. Does that make it clearer?
Steven I. Fleishman - BofA Merrill Lynch, Research Division: That's great.
Operator: We'll go next to Jay Dobson from Wunderlich Securities.
James L. Dobson - Wunderlich Securities Inc., Research Division: I was hoping you'd give a little more clarity on this corporate and other, which was as large as it was in the quarter and for the year. Just what was going on there and sort of how we should think about that going forward into '12 and I guess through '14? Although maybe that may be a little less clear in your crystal ball.
Moray P. Dewhurst: Yes, the sort of large size in the corporate and other is really -- is driven by tax issues. They are kind of a couple of buckets. In the second quarter we talked about the impact of some tax law changes. And in the fourth quarter, it gets a little complicated, but it's essentially the elimination of a deferred tax liability, which really came about as an outflow of more general settlement of broader issues with the IRS. But in both cases, what we're really talking about is an income effect from the elimination of the deferred tax liability. So from an income statement perspective, they're kind of one-time effects, so they won't roll over into subsequent years. From a cash flow perspective, they are genuinely the improvement of a future cash flow position.
James L. Dobson - Wunderlich Securities Inc., Research Division: Okay, got you. So if we're looking out to -- I don't want to get too detailed into guidance around this, but for '12, we ought to be going back to corporate and other in the, I don't know, $0.08 just to use what you reported last year?
Moray P. Dewhurst: Yes, I mean, don't quote me -- quote me on the specific number, but the large magnitude that we've seen this year in corporate and other, we would not expect to recur.
James L. Dobson - Wunderlich Securities Inc., Research Division: Okay, fair enough. And then I missed the number. How much surplus depreciation did you book in '11?
Moray P. Dewhurst: $187 million.
James L. Dobson - Wunderlich Securities Inc., Research Division: $187 million. And so even with the use of roughly $520 million, I think, you said for this year, you'd have some of that leftover. Is it your anticipation under your filing that you would -- you have the ability to use that in future years?
Moray P. Dewhurst: Yes. Right now, the way we look at the numbers, we would have roughly $190 million leftover at the end of the year. And so we're thinking that, that would be the amount that will go in to the filing.
James L. Dobson - Wunderlich Securities Inc., Research Division: Okay, great. And then just a detailed question. I know you left this out of the adjusted earnings, but what was the loss you recorded for the RISEC sale, the Rhode Island plant?
Moray P. Dewhurst: Solely for the RISEC?
James L. Dobson - Wunderlich Securities Inc., Research Division: Yes, just solely for that one, because the other one occurred in the third quarter.
Moray P. Dewhurst: Okay. For RISEC, it was immaterial. The accounting, the book loss was primarily associated with the other 4.
James L. Dobson - Wunderlich Securities Inc., Research Division: Okay. So you guys just said less than $0.01 it was, in fact?
Moray P. Dewhurst: Yes, less than $0.01.
Operator: [Operator Instructions] And we'll go next to Paul Patterson from Glenrock Associates.
Paul Patterson - Glenrock Associates LLC: Congratulations to Armando in terms of his retirement. And I just want to touch basically on the long-term growth rate. We have seen a decrease in gas prices. Do you still feel that you can make that growth rate with today's low gas prices because of the hedging and other activity that you're doing? Or is it based on different gas price outlook?
Moray P. Dewhurst: No, we haven't changed in any way the way that we approach sharing with you our expectation. So they always incorporate our view of the current forward. So as you would imagine, we can continue to get there because we have heavily hedged the portfolio. So we continue to feel very good about where we are through the 2014 timeframe.
Paul Patterson - Glenrock Associates LLC: Okay. That's what I thought. And then just in terms of wind, there was a Fitch downgrade on a specific project, I think about a 500-megawatt project associated with higher O&M than have been projected and lower revenues. And I was just wondering, is that something specific with that project? Is there anything that we should be thinking about? I know that you guys haven't really changed much in terms of your own wind outlook in the slides, but I'm just wondering if you could just give us a little bit more of a flavor in terms of how the wind portfolio is working and just what that was all about.
Moray P. Dewhurst: Yes, sure. Let me first speak to the particular -- it's actually a collection of projects. The downgrade occurred on project debt of a portfolio of projects, one of the early portfolio limited recourse financings that we did back in, I want to say, the '05 timeframe, somewhere around there, maybe earlier. So this is -- Fitch is taking action on the project debt there. Actually behind Moody's and S&P, they have previously reevaluated it. The key drivers there are actually -- the low wind resource that we had in 2009 and 2010 was stressing the coverage ratios of both the portfolio. And in addition, it is true that we've had higher O&M experience. They were some of the earlier turbines that had a higher incidence of gearbox failure than we now see. So I don't attribute anything specific -- or anything, excuse me, anything more general from that particular issue. And I think actually given that the wind resource came back very nicely in 2011, the coverage ratios on those -- on the project debt came back up just fine. I don't see that there's a problem there. But in addition, I certainly don't see that as being anything that we need to think about extrapolating through the rest of the fleet. So the rest of the fleet is running very well and project-specific issues there.
Paul Patterson - Glenrock Associates LLC: Okay. And then just finally on the renewal of the tax credit for 2012, how should we think about that? I mean, I guess you mentioned in your opening remarks about the political activity in Washington. Any sense as to when you expect that to be renewed or how we should be monitoring that or I don't know, it seems to be sort of -- Washington is hard to monitor, I guess. But what are your thoughts on that?
Moray P. Dewhurst: Yes, well, I think the first thing to be said is it's a constantly changing situation. But Lew has spent a fair amount of time in D.C. over the past month, so I think he would like to offer a few thoughts on that.
Lewis Hay: Yes. I'm not sure I can add too much to it, but if I was capable of predicting what was going on in D.C., I would probably be doing something else because I think there's a way to make some money on that. But historically, the PTC has had bipartisan support. We're in a highly politicized period, and clearly, the growing debt load the country has is an issue. So it is hard to say how it stacks up. We've been spending a lot of time in D.C., communicating the virtues of the PTC, and I think we're making some progress, making a lot of progress. And I think you all heard the President the other night recommit his support for clean energy. So it's still hard to say how this is going to sort itself out. We're, I'd say, cautiously optimistic that there's -- that some things can be done. It's probably going to be a rocky road. There's several different points in time over the year that something can happen, hard to predict when anything really will happen. But one thing I'm still very comfortable with is, long-term, there's going to be some form of support for renewable and clean energy. So I can say, stay tuned.
Moray P. Dewhurst: Yes. And just to close that out, let me -- I'll just add, in practical terms, what it means is that we are planning on the assumption that it expires at the end of 2012, but we are preparing ourselves for a variety of other possibilities.
Operator: We'll go next to Raymond Leung from Goldman Sachs.
Raymond M. Leung - Goldman Sachs Group Inc., Research Division: Question about financing needs. Can you talk a little bit about, under your current plan, what do you expect in terms of debt financing out of the utility and potentially capital resources? And even if you could provide us some ranges or parameters to help us out.
Moray P. Dewhurst: At this stage, I'm really not prepared to get into sort of specific numbers and timing. All I can tell you is that Florida Power & Light, we feel that continue to be in the midst of this very heavy spending phase. We will maintain the capital -- balanced capital structure. So that means that there will be periodic first mortgage bond issuance as the primary vehicle that we use there. On the Capital Holdings side, again, it gets a little more complicated there because we have a wider variety of instruments that we use. As I tried to indicate in the prepared remarks, we will likely be drawing on all of them, but we're still sort of fine-tuning the plan for this year. So as I said, I'm not prepared to come out with specific numbers at this stage.
Raymond M. Leung - Goldman Sachs Group Inc., Research Division: Okay. Can you maybe help provide us with like financial targets or metric targets and like a cash flow debt on capital side or to help us at least guide us?
Moray P. Dewhurst: I can't right now, but I will certainly -- I have committed to others that we will provide better guidance than we have in the past on that issue. And the reason it gets a little complicated is because there's no one single metric that we use. So we look at a variety of different coverage ratios effectively. And we look at them in a variety of different ways, and we try and optimize the overall plan. So it's difficult for me to give you a specific target. But having said that, I can do a better job than I have in the past of narrowing down the range. I'm committed to doing that.
Raymond M. Leung - Goldman Sachs Group Inc., Research Division: And just last question. In terms of -- I see you have a fairly large backlog, but can you talk a little bit about how you're thinking in terms of what you're seeing in terms of acquisition opportunities in the renewable side? There's been a lot more transactions there, some projects that I think have maybe come under some pressure. And maybe how you're thinking about that relative to your own organic backlog.
Moray P. Dewhurst: Sure. Certainly, there have been some projects and some transactions, frankly, not as many as we would have expected or hoped. We continue to be very optimistic that as some of the political uncertainties that Lew was talking about resolve themselves one way or the other, some folks will be making decisions about assets that they now hold. So we're very optimistic that there will be additional opportunities in that area, but there's nothing specific obviously that I can address at the moment. I would just reemphasize that acquisitions, asset acquisitions are not baked into the numbers that we have shared with you. So anything that we did in that way would have to be considered incremental to what we've shared with you.
Operator: We'll go next to Paul Ridzon from KeyBanc.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: What was the impact of weather in the quarter and year? And in the past, you gave us sensitivity to wind resource in cents per share, and I remember that correlation kind of blew up. Is there any tool we can use along those lines?
Moray P. Dewhurst: On the latter part, I believe the wind sensitivity is in the back, on Slide 23. So 1% change in the wind resource is about $0.02 or $0.03 per share. On the final weather effect for Florida Power & Light, we're trying to get the numbers.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: [indiscernible] next question and come back to that?
Moray P. Dewhurst: No. But just recognized that under the settlement agreement, weather doesn't have a direct impact on earnings because it's typically offset by an adjustment to the surplus amortization. So we're happy to get you the number.
Operator: We'll go next to Ashar Khan [ph] from Visium Asset Management.
Unknown Analyst: Moray, if I go to Slide 16 that you provided, and if I'm right, I did my FPL, the utility divided by the parent, I come to the exact 58%. Can I use that same thing for 2014, using some kind of a midpoint as to what that 65% would be FPL and the transmission company or just FPL alone, the way you have shown it on this slide?
Moray P. Dewhurst: Yes. Let me be clear what's in the slide. In the last part of the slide, so the percent from adjusted earnings from regulated businesses, that's the sum of FPL and Lone Star Transmission. So Lone Star is immaterial in 2011, but by 2014, we expect will be up and running. So conceptually, what you're talking about is the right way to think of it, but you're going to have the 2 pieces in. The chart -- the part of the -- the right-hand side of the chart, the EBITDA part, includes the whole enterprise, and so includes all of Energy Resources' components and factors in how much of Energy Resources' mix is associated with long-term contracted projects versus everything else. So in the right, in the green part of the bar, you've got FPL, plus Lone Star Transmission, plus the long-term contracted projects within Energy Resources.
Unknown Analyst: Okay. So if I do my math, Moray, it seems like as what you've been telling right that from 2011 to '14, right, if I take the midpoint, it's like a $0.97 increase. It seems like $0.92 is coming from the regulated business. That means like nearly like 95% of the growth is just coming from the regulated side to meet some kind of a midpoint of the range.
Moray P. Dewhurst: Well, I can't frankly follow your specific arithmetic right here now, but it is certainly true that the bulk of the growth that we're anticipating over this period is going to be associated with Florida Power & Light.
Operator: We'll go next to Jay Dobson from Wunderlich Securities.
James L. Dobson - Wunderlich Securities Inc., Research Division: Moray, sorry to come back in the queue, but just a quick question. Gas infrastructure, I don't remember what you sort of targeted there. I know it's relatively small numbers. But how does the current gas environment affect your outlook on investments there?
Moray P. Dewhurst: I think relative to a higher gas environment, other things equal, it means it will be, in the future, fewer opportunities. Having said that, at this stage, there are still plenty of deals that we're seeing that seem pretty attractive. We have indicated that we're going to limit the capital commitment to that business. But as to what the market opportunities will be, we'll have to see. Obviously, I'm sure many of you have seen others indicating that they may be moving assets away from gas explorations. So I think we're just going to have to see how that plays out. But clearly, over the long haul, our lower gas environment makes it less attractive for that business.
James L. Dobson - Wunderlich Securities Inc., Research Division: And remind me what the -- not commitment, but at least what you target to put to work there. Is that sort of $30 million to $50 million a year?
Moray P. Dewhurst: We had talked about a level of total capital commitment of up to maybe $600 million.
James L. Dobson - Wunderlich Securities Inc., Research Division: Over a period of several years?
Moray P. Dewhurst: Yes, sure, over a period of several years, I think out through 2012, toward 2014. 2014.
James L. Dobson - Wunderlich Securities Inc., Research Division: Okay, got you. Got you. So more like $200 million a year.
Operator: At this time, we have no further questions. I would like to turn the call back over to our speakers for any additional or closing comments.
Rebecca Kujawa: Thank you, everyone, very much for joining us today. We look forward to catching up with you again soon.
Operator: That does conclude today's conference. We do thank you for your participation.